Operator: Good afternoon and welcome to DHI Group Fourth Quarter and Full Year 2023 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Todd Kehrli of MKR Investor Relations. Please go ahead.
Todd Kehrli: Thank you, operator. Good afternoon and welcome to DHI Group's 2023 fourth quarter and full year earnings conference call. With me on today's call are DHI's CEO, Art Zeile; and Raime Leeby, DHI's CFO. Before I turn the call over to Art and Raime, I would like to cover a few quick items. This afternoon, DHI issued a press release announcing its 2023 fourth quarter and full year financial results. The release is available on the Company's website at dhigroupinc.com. This call is being broadcast live over the Internet for all interested parties and the webcast will be archived on the Investor Relations' page of the Company's website. I want to remind everyone that during today's call, management will make forward-looking statements that involve risks and uncertainties. Please note that, except for the historical information, statements on today's call may constitute forward-looking statements within the meaning of the Federal Securities laws. These forward-looking statements reflect DHI management's current views concerning future events and financial performance, and are subject to risks and uncertainties, and actual results may differ materially from the outcomes contained in any forward-looking statements. Factors that could cause these forward-looking statements could differ from actual results include risks and uncertainties discussed in the Company's periodic reports on Form 10-K and 10-Q, and other filings with the Securities and Exchange Commission. DHI undertakes no obligation to update or revise any forward-looking statements. Lastly, during today's call, management will be referring to specific financial measures, including adjusted EBITDA, adjusted EBITDA margin, and adjusted diluted earnings per share which are not prepared in accordance with U.S. GAAP. Information about and reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are available in our earnings release, a copy of which you can find on our website at dhigroupinc.com in the Investor Relations section. With that, I'll now turn the call over to Art Zeile, CEO of DHI Group. Art?
Art Zeile: Thank you, Todd. Good afternoon everyone, and welcome to our 2023 fourth quarter and full year earnings conference call. We appreciate your time today as we discuss our financial performance for 2023 and our future outlook. First, let's discuss the state of the tech labor market. There is no doubt that 2023 was a challenging year for tech hiring. Over 260,000 tech workers were laid off in 2023, compared to 165,000 in 2022, and based on monthly BLS data, the U.S. tech population only increased by 78,000 workers in 2023 versus 486,000 in 2022. This coincided with a decline in actual tech job postings throughout the year, where monthly job postings averaged approximately 220,000 in 2023, compared to 390,000 in 2022, a drop of over 40%. We attribute much of the decline in tech hiring in 2023 to a recalibration from the massive hiring that occurred in 2021 and 2022 coming out of the pandemic, along with caution exercised by companies in a very uncertain environment. Looking ahead, customer sentiment remains very cautious, with most economists forecasting a slowdown in GDP growth in 2024 to a rate between 1% and 2%. Having said that, we believe the backlog of desired tech investments continues to grow inside enterprises. And we expect these important technology initiatives will be high priorities once the macro uncertainties begin to clear, which in turn will drive demand for our hiring platforms. Despite all of this uncertainty and its knock-on consequences, we continue to operate effectively and efficiently as evidenced by our ability to grow our revenue in 2023, as well as expand our profitability. While we wait for commercial tech hiring to return, we have started to see our ClearanceJobs booking strengthen after the signing of the National Defense Authorization Act in mid-December, which provides for a 3% increase in defense spending compared to fiscal year 2022. This is a big positive for CJ, although the possibility of a government shutdown still creates a tougher sales environment for us. Given that Dice represents approximately two-thirds of our aggregate revenue, the question remains when we will see tech hiring start to increase back to a normalized level. We believe that this is a matter of when, not if, it will do so. As I've mentioned before, McKinsey Global Institute believes tech jobs will grow at a rate of 23% from 2022 to 2030 because of the continued digitization of our economy and the implementation of AI. This theme is consistent with KPMG's annual CEO survey released just a couple of weeks ago, which stated that 72% of U.S. CEOs say that generative AI is a top investment priority. All of this data supports the long-term secular trend of tech hiring and gives us confidence that once businesses have a collective sense of confidence in our economy, they will accelerate their investment in technology initiatives and will need our platforms and our 8 million candidate profiles to find, attract, and hire the best tech professionals for their job postings. While we wait for the overall tech hiring environment to improve, we continue to focus on what we can control, including improving our industry-leading product offerings and our go-to-market engine. Now let me dig into our performance during the quarter and what we see ahead for 2024. In the fourth quarter, our total revenue declined 6% year-over-year. Dice revenue for the quarter decreased 13% year-over-year, while CJ revenue increased 9%. The decrease in Dice revenue was the result of lower new business bookings and renewals over the past several quarters, as well as continued lower one-time transactional revenue, all of which are a reflection of the uncertain economic environment I have described. Having said that, excluding transactional revenue, our total recurring revenue was up 2% year-over-year in the fourth quarter across the two platforms, and for the full year, our total recurring revenue was up 9% year-over-year. Looking at our bookings performance, while our total bookings were down 4% for both the fourth quarter and the full year, our bookings for our recurring revenue products were up 1% for the quarter and 3% for the full year. Dice secured several new clients this quarter, including tech systems, Sienna Corporation, and Infosys, as we remain focused on those industries and specific companies that are hiring tech professionals even in today's weakened economic environment. Those industries include aerospace, business consulting, healthcare, financial services, and education. While Dice new business teams continue to see more intense deal scrutiny in this difficult macro environment, we saw a meaningful improvement in our new business team bookings from the third to fourth quarter, including for our Dice commercial accounts team. ClearanceJobs bookings for the fourth quarter increased 15% year-over-year, despite the uncertainty caused by a potential government shutdown. CJ secured several new clients this quarter, including Sierra Space, Armatron, and Henkels & McCoy. As I mentioned earlier, the most recent National Defense Authorization Act provides for a 3% increase in spending. It was signed midway through December and has started to positively impact the demand for cleared tech professionals. As a result, we expect increased bookings and revenue growth for CJ in 2024. Moving on to account management. Our Dice and CJ revenue renewal rates were 78% and 96% respectively in the fourth quarter. Retention rates for Dice and CJ were 97% and 110% respectively. While we continue to see customer attrition for Dice, it continues to be concentrated with smaller clients that have been more impacted by the macroeconomic environment than our larger accounts. These smaller accounts typically spend less than $10,000 a year with us. During the fourth quarter, we delivered a 27% adjusted EBITDA margin, which was up significantly from 20% a year ago. In the fourth quarter, we saw the full benefit of the organizational restructuring we announced last year, which included a 10% reduction in workforce that streamlined our team structure and improved our operating margins. During the fourth quarter, we made some additional smaller changes to the sales organization, largely affecting underperforming team members. We also reduced marketing campaigns for new candidates as we benefited from an elevated amount of candidate activity in this weak employment environment. For 2024, we will continue to focus on operating our business efficiently and our targeting of full year adjusted EBITDA margin of 24%. During the quarter, we continue to strengthen our industry leading product offerings. Dice delivered an improved company search function for candidates, as well as SMS notifications. Dice also introduced programmatic listings, which allow job advertising agencies to digitally feed job opportunities into the Dice platform and pay only for candidate job views and applies, consistent with contracts they have signed with their underlying clients. We also tested new pricing bundles that combined unlimited job postings, a company page, and selected job boosts for harder to fill positions. We believe these bundles have the potential to increase new customer annual contract value and improve our existing customer retention rates. The initial results were positive, and we are continuing to test this new pricing model. ClearanceJobs continue to develop CJ Live during the quarter. CJ Live will enable employers to create and deliver video based content to boost candidate engagement. In summary, while the difficult economic environment has had a temporary impact on our total revenue growth rate, our recurring revenue continue to grow in the fourth quarter and for the full year. We believe there remains a long-term secular trend for adding more tech workers in the U.S. And as the economic uncertainty recedes, and as companies across all industries continue their investment in technology initiatives, we expect increased demand for our tools that enable companies to attract, find, and hire the right tech professionals for their open positions. Until then, we will continue to focus on improving our products and our go-to-market execution so that we are ready to capitalize on this anticipated increased demand for our tools while doing so in a more efficient and profitable manner. Lastly, on our past earnings call, we announced the addition of Raime Leeby as our new Chief Financial Officer. What impressed us most about Raime is our virtual skill set, including direct responsibility for F&A, financial operations, tax, treasury, and M&A functions, but also the multitude of times in her career where she saw tough business challenges by taking on additional responsibilities in operations, sales, and strategy roles. Raime started with us early in December and has hit the ground running and is doing a great job. On that note, let me turn the call over to Raime, who will take you through our financials and our guidance, and then we'll take any questions you may have. Raime?
Raime Leeby: Thank you, Art, and good afternoon, everyone. Before I begin, I would like to say that I am very excited to join the amazing team at DHI Group. It is great to join an enterprise that is a leader in its space and has a significant value proposition with its industry-leading product offerings. While I have only been here a couple of months, I can tell you it has been a pleasure to work with Art, our Board of Directors, and the terrific DHI team. I can't wait to help the team continue growing this business, and I look forward to getting to better know our shareholders and the analysts that cover DHI. Now let me take you through our financial results for the quarter. We reported total revenue of $37.3 million, which was down 6% a year-over-year basis and essentially flat versus the prior quarter. Total bookings for the quarter were $36.1 million, down 4% year-over-year. As Art mentioned, our total recurring revenue was up 2% for the fourth quarter and 9% for the full year, and the bookings that drive our recurring revenue were up 1% for the fourth quarter and 3% for the full year. Dice revenue was $24.6 million, which was down 13% year-over-year and down 1% sequentially. Dice bookings were $22.2 million, down 14% year-over-year. We ended the quarter with 5,492 Dice recruitment package customers, which is down 5% from last quarter and down 13% year-over-year. Our average annual revenue per Dice recruitment package customer was up 2% sequentially and up 3% year-over-year to $15,788. Approximately 90% of Dice revenue is recurring and comes from annual or multi-year contracts. For the quarter, our Dice revenue renewal rate was 78% and our retention rate was 97%. ClearanceJobs revenue was $12.7 million, up 9% year-over-year and flat sequentially. Bookings for CJ were $13.9 million, up 15% year-over-year. We ended the fourth quarter with 2,055 CJ recruitment package customers, which was flat on both the sequential and year-over-year basis. Our average annual revenue per CJ recruitment package customer was up 10% year-over-year and up 2% sequentially to $21,872. Approximately 90% of CJ revenue was recurring and comes from annual or multi-year contracts. For the quarter, CJ's revenue renewal rate was up sequentially to 96% and CJ's retention rate was strong at 110%. The outstanding retention rate demonstrates the continued value CJ delivers in the recruitment of cleared professionals. Turning to operating expenses, fourth quarter operating expenses were down 13% to $33.8 million when compared to $39 million in the year-ago quarter. As with the third quarter, our fourth quarter operating expenses reflect a full quarter of the cost savings associated with the May restructuring, which is expected to generate annual cost savings of approximately $8 to $10 million. As Art mentioned, during the fourth quarter, we made some additional smaller changes to the sales organization, largely affecting underperforming team members. Also, during the fourth quarter, we reduced marketing campaigns for new candidates as we are benefiting from an elevated amount of activity from candidates in this weak employment environment. For the quarter, we had income tax expense of $563,000 on income before taxes of $2.7 million. Our tax rate for the quarter differed from our approximate statutory rate of 25% due primarily to the reversal of liabilities for uncertain tax positions as federal and state statutes expired. We recorded net income of $2.1 million or $0.05 per diluted share. For the prior year quarter, we reported a net income of $2.4 million or $0.05 per diluted share. Adjusted diluted earnings per share for the quarter were $0.04 compared to $0.01 for the prior year quarter. Diluted shares outstanding for the quarter were $44.6 million compared to $46.1 million in the prior year quarter. Adjusted EBITDA for the fourth quarter increased 24% to $10.1 million, a margin of 27%, compared to $8.1 million or a margin of 20% in the fourth quarter a year ago. Operating cash flow for the fourth quarter was $7.6 million compared to $7.3 million in the prior year period. From a liquidity perspective, at the end of the quarter, we had $4.2 million in cash and total debt of $38 million under our $100 million revolver. Total debt outstanding decreased $2 million from $40 million at the end of the third quarter. We continue to target approximately one times leverage for the business. Deferred revenue at the end of the quarter was $50 million, down 2% from the fourth quarter of last year. Our total committed contract backlog at the end of the quarter was $108.1 million, which was down 8% from the end of the fourth quarter last year. Short-term backlog was $89.8 million at the end of the fourth quarter, a decrease of $1.7 million or 2% year-over-year. Long-term backlog, that is revenue to be recognized in 13 or more months, was $18.3 million at the end of the quarter, a decrease of $7.5 million or 29% from the prior year quarter as the average length of our multi-year contract decreased. During the quarter, we did not purchase shares under our share buyback program. For the year, we repurchased $1.7 million shares for $6.9 million under our repurchase program and we purchased $1.2 million shares for $6.2 million to cover income tax withholdings associated with the vesting of employee shares. As a reminder, our $10 million program began in the first quarter of 2023 and runs through February 2024. Of the $10 million authorized, $4.8 million remained available under the program at the end of the quarter. Moving on to guidance, while we saw signs of an improved bookings environment across all of our new business teams in the fourth quarter, we do not expect total bookings growth to return until the second half of 2024, which we expect to result in a low single-digit percentage decline in our total revenue for the full year. From a profitability perspective, we are targeting a full-year adjusted EBITDA margin of 24%. However, we anticipate our first quarter adjusted EBITDA margin will be lower due to seasonal costs that more heavily impact the first quarter, such as certain payroll taxes. We remain focused on driving long-term, sustainable revenue growth and our well-positioned from a customer acquisition perspective to return to growth when the economy begins its recovery and tech hiring improves. To wrap up, while the current hiring environment is impacting our growth, we expect companies across all industries to continue their investment in technology initiatives, which we believe will drive increased demand for our products and services as the economy improves. In the meantime, we are focused on improving our industry-leading offerings and our go-to-market execution so we are ready to capitalize on the anticipated return of tech hiring. And with that, let me turn the call back to Art.
Art Zeile: Thank you, Raime. I'd like to thank all of our employees again for their hard work this past year. It is an absolute pleasure to be part of such a great team. With that, we're happy to take your questions.
Operator: We will now begin the question and answer session. [Operator Instructions] Our first question is from Zach Cummins with B. Riley. Please go ahead.
Zach Cummins: Hi. Good afternoon, Art, and welcome to the board, Raime, really appreciate you taking my questions. Can you start by talking about the new business trends here, the improvement we saw across both teams in Q4? Can you talk about maybe what you're seeing through the first month and this year and kind of how you're expecting that to progress forward just based on the guidance that you gave for 2024?
Art Zeile: Sure. I can tell you this, Zach, and it's great to hear your voice once again. We saw a diminishment of demand for new business in general across all of 2023. If you think about it, as we've talked about it in the past, most CFOs have scrutinized any kind of new expense in this kind of an environment. But qualitatively, we saw a shift because of the introduction of pricing bundles in November of last year so that there were larger deals sold by our new business teams. And I would say there was a notable pickup in the amount of actual bookings activity. I wouldn't say that they anywhere came close to the levels that we saw in 2022, but there was a pickup for sure. And when you say, what do we see in January? We saw kind of a continuation of those trends. Again, we are being pretty cautious with the way that we've projected our performance for 2024, including the new business team bookings performance. But there was a bit of a shift in the favor of new business.
Zach Cummins: Understood. And just digging a little bit deeper, can you talk some more about the pricing and bundling strategy for Dice? Is this really just a way to entice more customers to jump on board with more value? Or how are you going about testing different pricing and bundling packages?
Art Zeile: Absolutely. Great question. So for each cohort of customers, and what I mean by cohort is, I mean, Dice, commercial accounts, Dice, staffing, recruiting, consulting business, and also ClearanceJobs customers, we have a set of packages kind of in the standard bronze, silver, gold, platinum kind of product set. And those are based on the size of the company in general. So smaller companies, obviously, would be focused on bronze, mid-sized companies on silver, large on gold, so forth, and so on. The real benefit in my opinion, of these packages, is that they bring together things that we think are appropriate for companies to maximize their opportunity to bring on technology professionals in this environment. It's a combination of being able to post your jobs, a number of views and profiles, the ability to have a company page set up for you that enhances your brand to the technology community, and then a way of boosting jobs that you're having problems with to the top of the search order. So it's a tight package that really provides a strong value proposition to giving the recruiter the best chance to bring the right technologist to bear. Now in my opinion, one of the real transformative elements of these bundles is the fact that we no longer have job slots. We're not limiting the number of jobs that are being delivered to the Dice platform or the CJ platform by our customers. And that was something that we've done in the past. That's really endemic to the job board world. We are going to allow them to post all the jobs they want inclusive of that package. They have also the ability to bring additional recruiters to these packages as well. So we think it's a great bundle. We think it creates a lot of value. It gives them the maximum chance for success. And that's really what defined the bundles strategy in the first place is we saw certain customers taking certain things as a natural part of their interaction with us. We said if you take these elements together as a package, you will have the maximum success of finding the right technology professional and it seems to be resonating. We've already sold over a hundred of these bundles and they started in mid-November.
Zach Cummins: Got it. And final question for me is just really on the churn for Dice. I mean, obviously a lot of this is still at the lower end of the market, but do you have a sense of really how much is left to shake out there at the lower end of the market, especially as we go into 2024, just curious on your thoughts around the revenue renewal rate for Dice?
Art Zeile: We aren't projecting a change in the churn rate or the inverse of that, which is obviously the revenue renewal rate in large part. And that's because we don't have any data that really substantiates a change. I do believe we've shaken the tree pretty hard of these clients, these staffing recruiting agencies that are smaller ones that are more susceptible to a lower demand environment. If you think about it, the number of tech job postings declined over the course of the year as we indicated. Well, it's those smaller tech firms that are staffing recruiting firms that suffer the most when the job demand environment recedes like it has. It means that they don't have the orders that they had in the previous year. So again, we don't know if we've shaken the tree to the point where all we have is stable staffing recruiting firms that can weather any storm or the current storm. But our forecast, I could tell you, our budget does not presume any difference in renewal rates for the remainder of the year.
Zach Cummins: Understood. Well, thanks for taking my questions, and best of luck with the rest of the quarter.
Art Zeile: Thank you very much, Zach. Really appreciate it.
Operator: The next question is from Max Michaelis with Lake Street Capital Markets. Please go ahead.
Max Michaelis: Hey guys, thanks for taking my question. First one just on bookings here. So if we're projecting growth in the second half of the year for booking, I'm assuming that that's implying Dice and ClearanceJobs are both growing. I was wondering if you could point to any other areas of confidence you're seeing just to see Dice return to growth in the back half of the year?
Raime Leeby: Sure, I can take that one. You're right. We are anticipating bookings growth in the second half of the year with both brands. And I think the biggest factor for Dice is the quality of our renewable book. If you think about year-on-year comparison, it will improve. So as Art just talked about, the customers who have turned in mid-2023, that comparable in terms of the renewable book helps us just as we stabilize in the second half of 2024.
Max Michaelis: Got it. And then, when we look at your cost structure, I know you guys took the initiative last year, but going for and also in Q4 as well. But are you guys at this -- where you guys are at right now? Are you comfortable where you are at in terms of cost structure? Do you see anything else -- any other actions need to be taken in 2024?
Art Zeile: So I can tell you that we feel very confident about our team and the organization that we have in place. I cannot foresee any kind of a change in terms of the team structure or the way that we operate. There are expenses that are discretionary to the degree that we see certain trends in the environment. We spoke to one of those, which is marketing spend on candidate activity. If you think about it, candidates in this environment are a little bit wary about where they stand with regard to their job prospects. And so they're coming to the Dice and CJ sites naturally without a lot of marketing spend. We cut back on spend in the fourth quarter because we saw that distinct trend. If we continue to see that trend, we can vary the amount of marketing spend on, again, candidate activity. We're very loathe to change the client facing marketing spend because we realize that that's so incredibly important to our bookings and are ultimately our revenue performance. So again, we can change that candidate spend kind of real time as we assess that trend in the marketplace. We do not presume that in our budget. Again, our budget is and has hopefully been conservative to the degree that we have been able to forecast various trends that we see. But that's the one area that I can foresee making changes real time to affect our expense structure. But again, not in terms of the population of our team or the team structure itself.
Max Michaelis: All right, thanks, and then last one for me. So if we think about tech in 2024 and the uncertainty around it, is there any other areas in the market, maybe outside of tech, maybe M&A opportunities that you guys have spotted that you guys can go after?
Art Zeile: I would say, no, we haven't really seen anything meaningful that has been actionable in terms of an acquisition. I would say that given the share price today and the fact that we have divested a number of previous acquisitions, I think that there's a pretty high bar that's imposed by our investors is to a strategy around acquisitions that would make sense for us long term. That's not to say that we rule it out entirely, but we just think that there's a high bar and we really haven't found anything that's actionable at least right now.
Max Michaelis: Yes, and I guess outside of M&A, is there any other areas you think you could potentially invest in? And maybe if we just leave out M&A and you guys solely enter a market on your own?
Art Zeile: Well, I would say there are some interesting additions that we're making to the product line. I spoke to one of them, which is called Programmatic. It's the ability to take a job feed from advertising agencies and allow them to have a price that's not based on a subscription, but based on the number of views they see of their job postings or the number of applies that they receive. And that is a brand new revenue lever. It's very nascent for us. We're going to be investing in that and making it more sophisticated over the course of the year, bringing on more agencies, but I don't want to overplay its importance. By definition or by our nature, very conservative, so that's an area that I'm very intrigued with because it's still, it has a good revenue potential for the future. There are clients that naturally gravitate towards this transactional model for facilitating their hiring of technology professionals. That's the one that I would say is notable.
Max Michaelis: All right, guys. Thanks for taking my questions.
Art Zeile: Thank you. We appreciate it, Max.
Operator: [Operator Instructions] The next question is from Kevin Liu with K. Liu & Company. Please go ahead.
Kevin Liu: Hi. Good afternoon. First thing I wanted to ask that was just from a bookings perspective, obviously you saw some improvement here in the fourth quarter and in terms of getting to kind of that positive bookings growth in the back half of the year, is it fair to assume that maybe the trough [ph] in terms of the level of decline is behind you and we should just kind of see steady improvement in that bookings growth rate? Or are there periods expected in the first half where you could continue to see maybe some more incremental softness?
Raime Leeby: Hi, Kevin. Yes, I think it is fair to assume that we anticipate an improvement in bookings quarter-on-quarter. So as you know, in Q4, the decline in bookings year-on-year for Dice was narrower and smaller than it was in Q3 and we expect, again, that quarter-on-quarter improvement in bookings comparables for Dice and obviously CJ continues to grow year-on-year, so not sure if we have hit the trough yet, but we do expect that the booking comparables to continue to improve based on what we see in the market at this point.
Kevin Liu: That's great to hear and then going back to some of your comments on kind of the marketing spend and levers you're able to pull there. I'm just wondering, you know, are you at a level exiting Q4 where this is where you kind of want to start off in Q1 here or is there opportunity to actually take marketing spend down further at the beginning of the year and then maybe build back up as the environment allows?
Art Zeile: Actually the opposite, we would naturally spend more on candidate spend at the beginning of a year. And the theory is that there's two effects. I spoke to the fact that we're naturally seeing candidates come to our site, but in the fourth quarter the seasonality effect of having the holidays at the back half of November and December naturally means a lower amount of spend for us in any traditional year. So again, we would actually kind of reload the marketing spend for a much larger amount of candidate activity in the first quarter than in the fourth quarter in any year, but particularly because of this effect of candidates that are coming to our site because they're worried about their job prospects.
Kevin Liu: Got it. That's helpful. And then just lastly, with respect to the bundle packages, I know it's still fairly early days here. But we'd be curious what sort of uplifts you're seeing in terms of the recruitment package price per customer relative to what we've seen historically?
Art Zeile: That's great question. I'll tell you that we know that if a customer takes a bundle as part of our CA new business activity that the average or the annual contract value for that bundle is roughly twice the value of the packages that they would take without the bundle. And that's kind of the magic of the bundle itself is that it comes with a number of different features built into it. So you're getting a lot more for your money, but you have to pay something more than you would pay kind of as a natural transaction with us. So again, we're seeing 100% lift for Dice commercial accounts when a bundle is sold versus when a bundle is not sold. It's not that big of a lift for Dice SRC. It's approximately in kind of the 20% range. And then for CJ, it's still kind of new days. There's a lift, but we didn't see as many sales for CJ, so we're still studying that. What we're seeing is that each category of new business sale that does involve a bundle involves a lift compared to a non-bundled sale.
Kevin Liu: Got it. I'm sorry, I didn't mean to interrupt, but just for those bundled sales that you're seeing today, is that primarily on kind of a new business front, or have you actually seen good traction with customers maybe going through the renewal cycle and willing to upgrade to these bundles?
Art Zeile: I would say it has been predominantly a focus for the new business teams, less so for account management, but we are still seeing positive progress on account management as well, those teams that are renewing customers.
Kevin Liu: Great, thanks for taking the question.
Art Zeile: Thank you, Kevin.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Art Zeile for any closing remarks.
Art Zeile: Thank you. I just want to let everybody know that I'm really appreciative that you came to our conference call today. As always, if you have any questions about our company or would like to speak with the management team, please reach out to Todd and he will help arrange a meeting. Thanks everyone for your interest in DHI Group and have yourself a great day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.